Operator: Good morning. My name is Sylvie, and I would like to welcome everyone to the Bridgemarq Real Estate Services Inc. 2025 Third Quarter Results Conference Call. This call is being recorded. [Operator Instructions] I would now like to introduce Mr. Spencer Enright, Chief Executive Officer of Bridgemarq Real Estate Services Inc. Mr. Enright, you may begin the conference.
Spencer Enright: Thank you, operator. Good morning, everyone, and thanks for joining us on the call today. I'm joined by our Chief Financial Officer, Wallace Wang. I will begin with a brief overview of our company's third quarter results. Wallace will then discuss our financial results in more detail, and I'll conclude by providing some remarks on organizational highlights, company updates and market developments. Following our remarks, Wallace and I will be happy to take your questions. I want to remind you that some of the remarks expressed during this call may contain forward-looking statements. You should not place reliance on these forward-looking statements because they involve known and unknown risks and uncertainties that may cause the actual results and performance of the company to differ materially from the anticipated future results expressed or implied by such forward-looking statements. I encourage everyone to review the cautionary language found in our news release and on all our regulatory filings. These can be found on our website and on SEDAR plus. So we continue to build on the strong momentum established in the first half of 2025, an encouraging sign given broader economic challenges and ongoing geopolitical certainty including U.S. trade tensions that continue to affect the Canadian economy. Despite ongoing uncertainty in both the housing market and the wider economic environment, we have continued to successfully attract and retain high-performing agents across our brands. Our comprehensive suite of tools, training services and technology offerings, which are all tailored specifically to the needs of Canadian REALTORS, have been a key differentiator over our competitors, helping us remain competitive and deliver exceptional value to our network. Revenue for the first 9 months of the year was $309 million compared to $249 million in 2024. As a reminder, last year's results reflect the addition of the brokerage businesses, which were acquired on March 31, 2024. At its meeting yesterday, our Board of Directors approved a dividend of $0.1125 per share, payable on December 31st to shareholders of record on November 28. This indicates an annualized dividend of $1.35 per share, which is consistent with 2024. And with that, I'll turn the call over to Wallace for a closer look at our third quarter financial performance.
Wallace Wang: Great. Thank you, Spencer, and good morning, everyone. Revenue in the third quarter was $123 million, slightly lower than the $127 million reported in the third quarter of 2024. Franchise fees increased for the quarter and the first 9 months of the year, driven by fee increases implemented at the beginning of 2025 as well as an increase in the number of REALTORS in our network. There are currently 21,617 REALTORS in our network, an increase of 3% since the end of last year. By contract, the total number of CREA REALTORS has decreased by 2% since the end of last year. In the third quarter, the company generated a net loss of $1.7 million compared to a net loss of $10.8 million in 2024. The reduced loss in the quarter is partially driven by the valuation of the exchangeable units remaining unchanged in the quarter compared to a loss of $10.8 million in the third quarter of 2024. Our adjusted net earnings, which considers our operating earnings before certain noncash, nonoperating adjustments and payments to holders of exchangeable units amounted to $1.0 million in the third quarter. Cash provided by operating activities amounted to $1.3 million in the third quarter of 2025 compared to $2.7 million last year. The company generated $1.5 million in free cash flow in Q3, down from the $5.3 million generated in the third quarter of 2024. This is primarily driven by increased capital expenditures during the quarter. The Canadian residential real estate market grew in the third quarter of 2025, closing at approximately $84 billion, an increase of 5% compared to the same period in 2024, driven by a modest 1% increase in the average selling price and a 4% increase in sales volume. This is largely driven by the province of Quebec, where the residential real estate market recorded a 20% increase in transactional dollar volume during the third quarter of 2025. Compared to the previous year, closing at $12 billion. This reflects a 10% increase in unit sales and a 9% increase in the average selling price. The greater Toronto market and the Greater Vancouver market recorded a decline in the average home prices compared to last year. The number of units sold during the quarter increased in both markets. As a reminder, market data is generally reported on a firm deal basis, whereas the company recognizes revenue when the transactions are closed. Spencer will now provide additional insights into the market and an update on our operations.
Spencer Enright: Thanks, Wallace. So buyer activity throughout 2025 has remained below typical levels, particularly in Canada's two most expensive markets, Toronto and Vancouver. As has been the trend since spring, buyer demand in many areas of the country has been lower than historical norms, influenced by many factors, including housing affordability, employment, immigration and overall consumer confidence. For buyers in a position to transact at this time, however, improved affordability in the Greater Toronto and Greater Vancouver in market is presenting an opportunity. With inventory continuing to rise, prices edging lower and lending rates declining, affordability is gradually improving, creating more favorable conditions for those ready to make a move at this time. Quebec's real estate markets continued to demonstrate strength and resilience, joining major centers in the Prairies and Atlantic Canada in posting increases in prices amid tighter supply conditions this year. The Bank of Canada reduced its target for the overnight lending rate by 25 basis points in each in September and October. And the overnight rate now, it's at 2.25%. In September, Canada's consumer price index increased 2.4% year-over-year, up from the 1.9% recorded in August, which remains within the bank's inflation target range. On its own, the reduction to the Bank of Canada's key lending rate, along with indications of the rate remaining stable for some time, should drive a much needed measure of added stability for Canadians, who are contemplating a real estate purchase in the near term. Now I'll give you a few updates on the company's operations. A key competitive strength of our business is the ability to provide a broad range of real estate solutions for both agents and consumers. Our strong portfolio of brands, including Royal LePage, Via Capitale and Proprio Direct, sets the standard of service excellence across all of Canada. We continue to proactively innovate and improve our suite of services to our agents. We are currently embedding AI functionality throughout our service platforms with particular attention to tools that enhance lead generation and client engagement. At the same time, we have revamped our aid and training and coaching programs to equip our network of agents with AI knowledge and insights to improve their productivity and realize greater results in the marketplace. During the third quarter, we launched a new fall digital advertising campaign called Agents of a Different Stripe aimed at driving consumer brand awareness for Royal LePage. During its first 4 weeks, the campaign earned over 24 million impressions across Canada via video and static advertisements. Proprio Direct introduced a new CRM platform designed to enhance the client experience and streamlined business operations, helping our agents within that banner, deliver a higher level of service. And also in the third quarter, Via Capitale hosted its 2025 Via Capitale Congress to support skills development and training for real estate professionals. We remain focused on introducing new initiatives and training programs that enhance efficiency and help agents grow their businesses. During the quarter, agents operating under our corporately owned Royal LePage Real Estate Services and Johnson & Daniel Luxury brand benefited from the launch of a new Deal Hub, creating -- created to streamline compliance and deal processing across all of our brokerage operations. By continuing to invest in initiatives that enhance agent productivity through education and the strategic use of artificial intelligence, we are strengthening our leading brand, creating new opportunities for growth and delivering greater value to our shareholders. Overall, I am pleased with the market share growth we have achieved so far this year, and I'm excited to continue that momentum as we close out the year. With that, I will turn the call back to our operator and open up the call to any questions.
Operator: [Operator Instructions] First, we will hear from Jeff Fenwick at Cormark Securities.
Jeff Fenwick: I wanted to start off just talking about the REALTOR network. It looks like you've had some success sort of progressively growing it this year. The industry itself has seen some contraction. What are you seeing in terms of opportunities for recruiting right now, a bit of a better environment for you to maybe pick off some talented people that might want to come into your network, or how are you thinking about that?
Spencer Enright: Yes, Jeff, this is an excellent year for us from a recruiting standpoint. We've had success both in securing new franchises as well as in recruiting individual agents with not just within our owned brokerage operations, but also within our franchise network of brokers. And that's been across both the Royal LePage brand, which operates nationally in all 10 provinces as well as our Via Capitale brand, which is exclusive to the Quebec province. What I found is, over the years, when -- and what we've seen sometimes as a trend is in years where the market is extremely difficult, and especially when you see Toronto and Vancouver with fewer home sale transactions, competition for listings is that much more fierce than it normally is, which is extremely fierce on a regular date. And agents want and need support for that. The ability to find and secure new business for them is even more difficult when there's less business to go around. And there's what we like to term a flight to quality, where there's a lot of new conversations with agents that maybe have been successful in the past with other brands, other competitors and are struggling now, and they're looking to partners like us for new solutions. And is there a way that they can regain that momentum for themselves or really build it in their career in a way that they're not getting today from others or that they've been getting before. And so we're having great conversations all across the country with ages as well as with broker owners. We've had really good success in growing our network this year. We've got a really robust pipeline that we continue to work on. And so I'm very excited for what we've got moving forward as well as what we've seen so far this year.
Jeff Fenwick: That's helpful color. And then, I guess, another aspect business you've been investing in, it sounds like, is just operationally becoming a bit more efficient and using tools like AI. So are there opportunities here to sort of help boost the margins and, I guess, also make your REALTORS more productive at the end of the day? Like how is -- what's the current outlook there?
Spencer Enright: Yes, there's lots of opportunity there, and we're doing everything we can in two key focus areas. One is with agents themselves, helping them take advantage of large language models and other tools that they have already available to themselves. We provide through our Google Suite partnership access to tools to all of our agents in our network. And so they need to be as productive as possible. There's opportunities to improve their productivity, their sales effectiveness. And so we're working on that through training programs as well as other educational forums for them to learn even from each other, not just from us. And then within our own operation, we're using it in many ways to build a more efficient model and a more effective model. One area that we're focused on right now across our brokerage business is making sure that we've got the highest standards of compliance and regulatory standpoint, which is always well for us, but across all of our brokerage durations, which they are in multiple cities, multiple provinces, there's an opportunity to use AI to our advantage in building the right way of ensuring that every transaction we do, every film sale and purchase is fully compliant with all of the regulations required.
Jeff Fenwick: Okay. And then just wondering if within that, there was some spend in the quarter. I noticed the CapEx number, hopefully, it was $3 million, which is a bit higher than typical. So was there some investments going on in the business in the quarter?
Wallace Wang: No. So that's primarily driven by the increase in the Asian count. So you can think of it as sometimes when we convert larger franchisees to our network, we pay a per agent fee upfront. And that's primarily to help the franchisees kind of offset the conversion cost, right? So they'll need to convert their signs and some of the other costs, and we obviously size these investments upfront based on the ROI of the capital that we're going to invest to make sure that over the lifetime of the contract, we generate attractive ROI.
Jeff Fenwick: Okay. Great. And then just in terms of looking forward, I guess, you do have some capacity now with your balance sheet to look to continue to make those sorts of growth investments. At the same time, I know you're sort of juggling an environment that's a bit softer, and you've -- you're deferring some of your dividend payments to Brookfield. So what's the thinking in terms of feeling comfortable about continuing to make those growth investments right now?
Spencer Enright: Yes. We feel really confident about it. I think when you take a look at the way we grow our business, in addition to the organic growth that you see with our franchisees growing or our brokerage growing, one agent at a time, there's franchising opportunities. We've got a strong pipeline. And as well as mentioned, sometimes there's a bit of a capital outlay for conversion. But like I said, we're having great conversations ongoing with new potential partners with us, whether they're in a franchise capacity or in the -- in part of our own brokerage capacity as agent teams, large teams. And so there might be a bit of CapEx investment to bring some of that in. As Wallace mentioned, we focus on the long-term and growing our agent count now under 10-year contracts with franchises is that long-term play where we build on top of the existing royalty streams that we have, the existing franchise fee stream. And so there's lots of opportunities to continue to do that. Exactly when those take place is not necessarily streamlined quarter-by-quarter because in terms of a franchisee moving from one brand to another, at the -- that happens at the end of a contract, whether that's with someone that's on a 5-year or some other time frame. So you can't necessarily predict that, that all happen in one quarter or another or that it will be consistent quarter-to-quarter or year-over-year. But that's been our bread and butter in terms of one of the small-scale M&A growth path that we've pursued in the past, and we expect to do more on that.
Operator: At this time, I will turn it over to check on web questions.
Wallace Wang: Right, there are currently no questions on the webcast.
Spencer Enright: All right. Well, thanks, everybody. I'd like to thank everyone once again for joining us on today's call. We look forward to speaking with you again after we release our Q4 results in March.
Operator: Thank you, sir. Ladies and gentlemen, this does conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Have a good weekend.